Soren Skou: Good morning, everybody, and thank you for listening in on our earnings call this morning. My name is Soren Skou, I'm the CEO of Moeller-Maersk, and I'm joined here today by Claus Hemmingsen, our Vice CEO; Carolina Dybeck Happe, our CFO; Vincent Clerc, Chief Commercial Officer; and Søren Toft, Chief Operating Officer. I invite you, as always, just to look at the statements or the disclaimer around forward-looking statements. So now moving into the report. I'll start with a transformation update. 2018 was a year where we made significant progress on the journey to become a completely different company. We have gone from being a conglomerate, operating eight different divisions with a big corporate layer on top, to now being organized as one company with one frontline organization for our Ocean and Logistics & Services businesses. That means one sales force, one customer service function, one delivery organization. We have also, during 2018, successfully integrated our big acquisition from late '17, Hamburg Süd, and delivered synergies from that transaction better than planned. We have confound our digitization journey to the point that in Ocean, the customers' transactions with us are now largely digitized. Around 90% of all prices are now issued via our website. We have almost 100% of all bookings are received in an electronic form and so on and so forth. So then we made serious progress there. Also, during the year, we regained our position as one of the most reliable carriers in the industry. We did a number of investments in terms of customer service and solving certain long-standing issues with invoice quality. All of that meant that we left the year with the best customer satisfaction scores on record. Finally, I want to say that going forward, we will be introducing these four metrics that you see on the right that we will report on every single quarter to really give you some guidance other than the financial results on where are we in our transformation journey: We'll focus on growth in non-Ocean, in 2018, composed of 5.5% growth. We will focus on Logistics & Services' GP growth. It was 5.6% improvement last year. We will focus on finalizing the synergies that we have previously communicated around from integrating the company and from the acquisition of Hamburg Süd. Together, they add up to about 1 billion. So we will continue to measure on that. And then we are introducing the new metric, cash return on invested capital, to really demonstrate that we are moving forward with a very, very strong capital discipline and with the aim of generating real cash returns. Our long-term return on invested capital target of 8.5% stands, but it becomes 7.5% when we include the effects of IFRS 16. Now moving on to the Energy separation. Last year, we also made significant progress there. As you all know, we separated out Maersk Oil in a transaction with Total in March of 2018, and we have been selling our shares in Total in the last year and this year. And we currently hold around 28 million shares with a value of $1.6 billion in Total. We have also decided and announced last year that we are going to demerge Maersk Drilling and list it on the Copenhagen Stock Exchange. As you all saw this morning, we have now made that official, if you will, by announcing our intention to float. We expect to sign the final papers in the beginning of March and make the transaction effective as of 4th of April 2019, assuming that the transaction gets approved by the Annual General Meeting on the 2nd of April. We are still looking for solutions for Maersk Supply Service. We remain challenged by the market conditions, but we assure that at some point, we'll find a solution. With the transaction of Maersk Drilling, we will have done all-in Energy transactions for more than $12 billion to separate out these businesses and have cash flow of close to $9 billion from that. We are planning to disclose further details about our capital structure, about new dividend policy and about plans for distribution of a material part of the proceeds from the sale of Maersk Oil, latest in connection with our Q2 announcement in August. Now, moving on to Transport & Logistics. Our 2018 result was characterized by the following: It was a year where we delivered very strong growth. We added $8 billion to the top line, of course, very much driven by the acquisition of Hamburg Süd, but we also delivered good organic growth. It means that now, since 2016, where we started on this journey, we have added about $12 billion of turnover. And with $39 billion of turnover in 2018, we now have a higher turnover than we had in 2016, where we included also the oil and energy-related businesses. We did not make the progress that we had expected on our operating earnings. We delivered $3.8 billion, up from $3.5 billion last year and $2.5 billion in 2016. We had expected better progress during the year, but a number of factors impacted us negatively. Most importantly, the fuel price increased a lot and we were not able to fully compensate for that. We have delivered well on the synergies from Hamburg Süd, $420 million. And we also continue to progress on the Transport & Logistics synergies. Cash flow improved. We had a cash conversion of 85%. It would have been 90% if it was not because of a one-time special effect from a change in Danish tax laws. We also were able to reduce the interest-bearing debt quite significantly during 2018 by about $6 billion to $8.7 billion, and we have continued to reduce interest-bearing debt in the first months of 2018 as we have sold Total shares. We are proposing an ordinary dividend of DKK 150 per share. That's equal to approximate $0.5 billion for 2018. That's equal to approximate $0.5 billion for 2018. And then, as I already said, we will come back, in connection with our Q2 interim report, on what's next step in terms of proceeds from the sale of Maersk Oil and a dividend policy that is fit for purpose for the new company. Our guidance for 2019 is an EBITDA of $5 billion, including the effects of IFRS 16, which equals to around $1 billion. Our guidance is very much focused on a number of uncertainties that we see. We see clearly a global economic growth that is declining. We see weaknesses, in particular, of China and Europe. We're expecting container demand to decline to 1% to 3% this year from 3.7%, 3.8% last year. And as a result of that, on top of that, we have quite some uncertainty as to what happens with fuel prices. They have gone up quite a lot in the last months or so. And then finally, we will be, as an industry, implementing the IMO 2020 towards the end of the year, which will, all things equal, also mean a significant increase in fuel prices. In terms of trade war, of course, we also are concerned about the continued high level of tensions on the trade agenda. U.S. and China negotiations are ongoing, and we have no insights to how likely it is that the deal will be landed, even if the prices are positive right now. But we don't believe that the China and U. S. deal will be the last we have heard about trade tensions in 2019 because there's also clearly an outstanding discussion between Europe and the U.S. And that's really the background for our guidance for 2019. And with that, I will turn over to Carolina Dybeck Happe.
Carolina Happe: Thank you, Soren, and I will turn to our financials for the fourth quarter in 2018. Our revenue increased, mainly due to the acquisition of Hamburg Süd, but also excluding Hamburg Süd, the growth in revenue was 9.3%. Due to strong focus on profitability in the Ocean segments, our EBITDA improved 32% in the fourth quarter of '18, and we are reporting the highest EBITDA margin in Ocean throughout the year. EBIT was $219 million, down from $273 million, and this was negatively impacted from higher depreciations and amortizations as well as impairments related to our MCI and RORO business in the total of $156 million. Underlying profit in the continuing business was $120 million, which is an improvement from Q4 last year of $36 million. And remember that we reported for the full year 2018 an underlying profit of $220 million. For the CapEx then. In the fourth quarter, gross CapEx amounted to $587 million, which takes us to the total of $2.9 billion for the year, slightly below our guidance of $3 billion. Despite postponing $100 million of CapEx from '18 to '19, we have lowered our expectations for gross CapEx for 2019 to around $2.2 billion from, previously, a $2 billion to $2.5 billion range. The lower CapEx is due to our focus on CapEx discipline. And I would like to repeat that we will not be ordering any new large vessels until, at earliest, 2020 and no new greenfield projects in the terminal business in the foreseeable future. We have also started leasing more containers instead of buying them, as we disclosed in the half-year report, and with our expected market outlook, lowered to 1% to 3% for 2019. And our expectations to grow in line with the market in our Ocean segments, this naturally leads to lower CapEx requirements. The current contractual capital commitments, that is the CapEx that we have already sort of contractually committed ourselves to spend, is $2.3 billion at the end of the year, which is actually 1.5 billion lower than it was going out of '17. So that leaves us with a high degree of flexibility. The remaining commitments primarily relates to remaining six vessels that will be delivered until half-year '19 and some terminal concessions. Moving then to the cash flow development. Here, we have split the slide into two graphs: one for the full year '18 and one for the fourth quarter. So operating cash flow increased slightly to $3.225 billion for the full 2018, and that reflects a cash conversion of 85% for the year; and adjusted for the VAT scheme, that's our measure, we're about 90% for that. The cash flow for operations was negatively impacted by net working capital increase, and that was mainly due to the increased bunker price, which then, of course, meant that our inventories or the value of our inventories in Ocean increased. Free cash flow for the full year '18 was 4.2 billion, but that includes the 3 billion from the share or the sale of the share in Total. So 349 million was generated from the continuing business, and the rest is from dividends received as well as cash from divestments. For the fourth quarter in 2018, we generated a free cash flow of close to 3 billion. Of that, 758 million was generated from operations and 1.8 billion from the sale of shares in Total. Here, we had a very high cash conversion 121% in the quarter. You should remember though, that the 2017 number is excluding the Hamburg Süd acquisition, but it includes $0.9 billion from the sale of the remaining shares in Dansk Supermarked and around another 300 million from the sale of other businesses. Since the end of Q4 '18, we have sold around 18.4 million shares in Total SA. So that generates a cash flow of around 1 billion, which means we have around 1.5 billion left in value at the current share price. Moving on then to the balance sheet and the huge deleveraging that we have seen during the year. The net interest-bearing debt decreased from $14.8 billion to $8.7 billion, so a big reduction of over $6 billion. The reduction has been supported by the 3.2 billion related to the sale of the shares and the dividends from Total as well as the $2 billion in cash from the sale of Maersk Oil and 1.2 billion in cash proceeds from the separation of Maersk Drilling. But remember that the net debt will actually increase with the same amount of around 6 billion due to the adoption of IFRS 16. So basically, we'll be back where we started, but that, from a technical point of view. On this slide, we have summarized the consolidated financial information. I have touched most of the lines. A comment to the financial costs in the fourth quarter. We were lower than last year, and that is due to the impact from the dividend that we received from the Total shares. Within that, we had interest increases though and some one-off costs related to prepayments of debt. Tax payments also have increased in Q4 '18, but that is mainly due to the high tax that we paid on the dividends from the Total shares. So overall, adjusting from the impairment, the restructuring costs and the like, we end at an underlying profit of $120 million for the fourth quarter and $220 million for the full year 2018. Next slide shows what IFRS 16 does to us. And we have implemented it as of January 2019. And here, you can see the comparison on how the '18 financials would have looked like, assuming we had included the standard already in '18 for your comparability. So EBITDA will be significantly higher as expenses related to operating leases longer than 12 months are no longer included. So for 2018, EBITDA technically will increase with $1.2 billion to $5 billion from the $3.8 billion. Net profit will decrease slightly due to the increased depreciation impacting EBIT and higher financial expenses. And as a consequence of the implementation of IFRS 16, as I mentioned, our net debt will also increase with $6 billion from the $8.7 billion to $14.7 billion. ROIC increases slightly to the level of 1%, or somewhere between 1% and 1.5% for 2018 from 0.8%. However, moving forward, it will dilute ROIC on a general basis, and that's why we are lowering our ROIC target from 8.5% to now be a long-term target of 7.5%. The guidance for 2019 is based upon IFRS 16, and from Q1 '19, the guidance will only be provided based on the new IFRS 16 accounting rules. There are more details related to the impact for each of the segments that you can see in our full year report on Page 15 to 16. And with that, I will hand the microphone over to Vincent.
Vincent Clerc: Thank you, Carolina. And in Ocean, our revenue grew, both including and excluding Hamburg Süd. And this had, of course, a positive reflection on our EBITDA, which increased 50% compared to the same quarter a year ago. Our EBITDA margin has improved by 2.4% to 12.7% in Q4 2018. A big contributor to that increase was the increase we had in other revenue, mainly demurrage and detention income from our customers. Compared to Q4 last year, the freight rates increased by 9.3%. And that was mainly driven by a strong recovery on East-West trades, where we saw a recovery both on Asia-Europe and the Pacific, and especially on the Pacific, where the strong volumes were supported by a pre-tariff rush that we saw throughout the trade for most of the quarter. The North-South trade also saw some recovery and grew by 6.4%, while the intra-regional trades increased by 14%. The inclusion of Hamburg Süd affected the average freight rate positively, especially in the intra-regional trades, where you can see the difference compared to a year ago on the intra-Latin America. The increase was partly due to the implementation and the continued application of our emergency bunker surcharge, which was implemented over the summer. Excluding the positive effect of higher rates from Hamburg Süd, who also comes into the portfolio mix with higher unit cost, our rates were up by 7% compared to the same quarter of last year, which, on a standalone, was more than enough to compensate for the fuel increases we faced in the quarter over a year ago. If we exclude the Hamburg Süd, the volumes declined by 1.1%, which is lower than the estimated market growth we have of 3%. This decline happens mostly in backhaul trades, 3.5%, and was also the effect of some capacity rationalization adjustments we implemented throughout the quarter as we focused on restoring margins in the segment. On an annual basis, the volumes excluding Hamburg Süd grew by 2.5%, which was in line with the guidance we have provided of growing slightly below the market for this year and mainly to focus on profitability and to lower our exposure to some of the trades where we could not make positive return. With this, I'm going to hand it over to Søren Toft.
Søren Toft: Thank you, Vincent. And quickly progressing on the cost side. The unit cost of fixed bunker and fixed rate of exchange increased 0.5% year-on-year. Of course, the full-year-to-full-year pro forma development is significantly affected by the very poor stock that we had in quarter 1 of 2018, as we still had a lot of the existing operational agreements from Hamburg Süd in effect. But the following 3 quarters, we have improved performance significantly, and in Q4, we also improved by 1.8% versus quarter 3, and that despite, as Vincent mentioned, the much weaker volumes. Q4 '17 versus Q4 '18, the unit costs did increase 1.9%, without the adjustments that we normally do for the Hamburg Süd mix and the FX. And just to be upfront, then due to the inclusion of Hamburg Süd and since the tramp activities, in fact, also set in the Ocean segment in quarter 4 of '17, we are unable to give specific mix effects on the quarter-4-on-quarter-4 developments. Also, you should bear in mind that last quarter 4 of '17 was impacted by a number of significant one-offs, for instance, tax release provisions. On fuel cost, we continued the progress that we have showed the last several quarters where, of course, the cost increased due to the price year-on-year, but our efficiency improved nearly 10%, also due to initiatives from the Hamburg Süd acquisition and the network synergies. If we go to the next slide and continue about network then. Average capacity quarter-4-over-quarter-4 increased 7.4%, while volumes increased 11% in the same period. Average capacity in Q4 '18 was in line with Q3 '18, and that is despite sailing a number of additional one-off trips to cater for the U.S. peak and despite having added 5 to 7 ships for significant congestion, especially in Nigeria. For 2019, on a like-for-like basis, capacity will be flat compared to the second half of 2018. When we then include impact from already announced slow steaming initiatives and the effect of the temporary scrubber insulation, we expect capacity will slightly increase year-on-year to the tune of 1% to 2%. But remember, the scrubber effect is a temporary thing, and obviously, capacities for slow steaming are decisions that are helping both the product that we offer to our customers as well as the cost position that we have. If we then go to the next slide. Then as Soren Skou mentioned, we believe the Hamburg Süd integration has gone really well. We have kept the full customer base. The integration has happened without basically any client disruptions and positive client satisfaction, and synergies are coming in ahead of the plan. For 2018, we expect we have delivered 420 million and we realized integration costs of 60 million. That's well below the recent estimates we gave you. Synergies are, of course, benefiting the Ocean segment, mainly due to more efficient network and better supplier contracts, but they're also significantly benefiting the Terminals & Towage segment due to more profitable volumes. The Q4 EBITDA pro forma that we come up within Hamburg Süd is 204 million versus 148 million in Q3 '18, again, mainly from both better freight rates and the fully realized synergies. For 2019, we maintain a minimum of $500 million of synergies, and we're now updating you on a slightly lower integration cost expectation of around $50 million. I'll hand the word over to Vincent for Logistics & Services.
Vincent Clerc: Thank you. And now turning our attention to our second segment here, Logistics & Services. We saw a revenue increase of 2% to 1.557 billion compared to 1.527 billion last year. This was positively impacted by the activity growth that we have in intermodal and in-line activities as well as supply chain management, but was impacted negatively also by the continued weeding of our nonprofitable or less profitable business in freight forwarding and especially Air, where we have a strong drive to concentrate on margin generation rather than top line and volumes. EBITDA was negatively impacted by a restructuring cost of 20 million as an effect of the merging that we effectuated of the frontline organizations between Damco and Maersk Line, and a maintenance cost expense of 20 million for the Star Air fleet. However, EBITDA, adjusted for the restructuring cost, is still at an unsatisfactory 1.2% for the quarter. Adjusting further for the maintenance to have a more like-for-like comparison with the previous years, the EBITDA is actually in line with what we expect it for now. On the next slide. We can see some of the highlights that I touched upon previously, with our SCM volumes growing by 7.3% for the quarter, which is both a reflection of the very strong Pacific volumes we saw during the quarter as we talked about the pre-tariff rush here in the fourth quarter, but also, the implementation of new customers and new wins from our pipeline throughout the year. Gross profit for the segment improved 1.5%, supported by these volumes in SCM, but also increase in warehousing and distribution, especially in the U.S., and also, as I mentioned, inland activities. Margins in Air and Ocean increased by 3.3% and 39%, respectively, mainly due to the continuous focus on margin, this came at the expense of volumes to a large extent, as we really focused on margins, and of course, had an impact on our topline. Our EBIT conversion ratio was negative 5.9% versus 9.2% positive in Q4 '17; while adjusting for restructuring costs and the conversion ratio, would have been 1.5%, which is disappointing. And that, we'll work hard on with the new organization set up now to improve profitability with the several initiatives that we're taking in this field right now. Let me hand over to Søren now to talk about Terminals & Towage.
Søren Toft: So in the Terminals & Towage segment, we are pleased with the progress. Revenue grew 14% quarter 4 '18 over quarter 4 '17. The gateway terminals increased both revenue and EBITDA, while towage business faced some headwinds due to price pressures and currency developments. In the gateway terminals, EBITDA continued to improve significantly, mainly due to the strong growth in volumes ahead of the market. And in fact, in the last 12 months, EBITDA in gateways have increased 21% from these stronger volumes very close collaboration between mass line APM Terminals, Hamburg Süd synergies and obviously, also, VSA partners moving volumes into APM Terminals. If we look a little bit closer at the details, then the volume development is so that we grew 15% quarter-on-quarter: 14% from the external customers, the VSA customers; and 18% from the Ocean segment, significantly above the market, both for the quarter, and obviously, also for the year. Revenue per move was up 4.4%. That's mainly due to higher activity in North America and Latin America, offset partly by unfavorable rate of exchange. Cost per move was, however, up 5.8%, also mainly due to more volumes in the high-cost terminals, but also, congestion that we experienced, especially in New York and Los Angeles. In the towage segment, the harbour towage were up, increased nearly 6%. But again, here, revenue was impacted by currency and quite a number of price pressure in mature markets. If I then continue with the manufacturing segment. Then, the brief story here is that MCI's revenue decreased quarter four over quarter four '17 from $247 million to $215 million, mainly because of lower dry volumes and significant price pressure on dry business. And we have, as a consequence of that, as you know, decided to close the dry factory and focused MCI for the future strategically fully on the reefer business and cold chain services. EBITDA in MCI was slightly below Q4. Reefer pulled up. In the other businesses, which now also included Hamburg Süd tramp, revenue was significantly up but EBITDA-negative due to the very poor bulk fundamentals. We have announced the sale of the bulk segment, and it will be closing somewhere in early Q2 2019. I'll give the word to Claus Hemmingsen.
Claus Hemmingsen: Thank you, Søren. And if you turn to Page 25, we'll talk a little bit about the Maersk Drilling. And as Soren already said, the Board of Directors have today decided to pursue a demerger of A.P. Møller Maersk and the listing of Maersk Drilling. So the anticipation is that we will, on 4th of March, sign and issue the demerger documents in order to propose to the Annual General Meeting on the 2nd of April, that the shareholders approve a demerger. And that means that the shareholders of today will also be the shareholders of tomorrow after the demerger in Maersk Drilling. I think the important thing here is that the Board of Directors intends to propose a single share class, so no [A&P] share structure, but shares that will have equal voting rights. And it's going to be on a pro rata basis so that the shareholders of A.P. Møller - Mærsk will receive equal shares in Maersk Drilling. As Soren mentioned, the first day of trading is anticipated to be the 4th of April, subject to the AGM approval. It's also noted that APM Holding has agreed to a 360 days lock-up period for their shareholding, but also have signaled their intent to be a long-term shareholder. So I will just refer to that Maersk Drilling will hold their Capital Markets Day on the 25th of February, where a lot of details will be available to investors. I'll just say here that it's a very strong and well-reputed company. They are serving the most demanding customers that are amongst the biggest companies in the world. They come out with a very strong contract backlog, $2.5 billion, which is unique in the market, and with very good financial fundamentals of a net interest-bearing debt of just short of $1.1 billion. If you turn to Page 26, just briefly on Maersk Drilling's 2018 report, it was issued on the 7th of February in detail. So revenue of $336 million and an EBITDA of $139 million slightly lower than last year, impacted by the expiry of legacy contracts. The forward contract coverage for 2019 is 63%, and as I've just mentioned, they hold one of the highest backlogs in the industry. Maersk Drilling have issued guidance for 2019, that they expect an EBITDA before special items around $400 million. Expectation is thereby, in '19, below 2018, and that is primarily due to the increased number of yard stays that is necessary to keep the rigs within the special surveys. And they happen to fall between 7 and 10 rigs in 2019. Capital expenditures are expected to be in the range of $300 million to $350 million, mainly comprising of the rig upgrades and yard stays just referred to. If you turn to Page 27. From a supply service, they reported a decline in revenue of 5%, reflecting lower day rates and expiry of, also, legacy contracts. EBITDA was negative $4 million and impacted by increased project costs, and of course, also by the expiry of contracts. Maersk Supply Service have taken delivery of their final new building here on 14th of February, and that completes the CapEx new building program for Maersk Supply Service for now. We are still working on finding structural solutions for Maersk Supply Service, and I'm confident that we will find a solution for Maersk Supply Service going forward. So with these brief words, I will hand the microphone back to Carolina who will cover guidance.
Carolina Happe: Thank you, Claus. So to the guidance for 2019. A.P. Møller Maersk expects an EBITDA of around $5 billion for 2019, and that is including the effects from IFRS 16. This is equivalent to around $4 billion, excluding the IFRS effect. The organic volume growth in Ocean is expected to be in line with the estimated average market growth of 1% to 3% for 2019, as we currently see uncertainties related to the market outlook, related to weaker global economic growth, just to mention Brexit, weaker growth in China, risk in emerging markets and other things that Soren mentioned in this beginning of this call as well. Please remember, and as you can see from the sensitivity table, the volatility related to changes in freight rates continues to be high and impacts EBITDA by around $1.4 billion, if average freight rates increased by $100 per FFE, which is equivalent of a change of 5%. Guidance on gross capital expenditure, CapEx, is around $2.2 billion, and we do expect a high cash conversion also for 2019. And with that, we will open up for Q&A.
Operator: [Operator Instructions] And the first question is from the line of Patrick Creuset. Please go ahead. Your line is now open. [Operator Instructions] Our next question is from the line of Casper Blom from ABG Sundal Collier. Please go ahead. Your line is now open.
Casper Blom: I'll take the opportunity to ask two questions, and I'll ask them one at a time so you don't have to write down too much. I'd like to start with your guidance. You mentioned that you expect the market to grow by 1% to 3% this year. I suppose that is also what is the sort of background for the guidance. Could you elaborate a bit around 4 billion of guidance under the old accounting principle, 5 billion under the new, is that then equivalent to the market growing 2%? Or how should we sort of see that range, so to say?
Vincent Clerc: Yes, Vincent here, Casper. So we have expectations now for our market growing around these 2%, as you mentioned, and our volume expectations are in line with that. I think what's important to understand is, really, the variance that there is around that number, given the high uncertainties that there is. And that's why, I think, it's really important to understand the leverage. A 5% change in freight rate has a huge impact, as Carolina just outlined. So I think the guidance reflects the high level of uncertainty around trade, around macro environment, around the implementation of the IMO 2020 at the end of the year, the volatility we have seen in fuel price. I mean, these are all factors that can swing and have a massive impact, as we've seen some of them play out in 2018.
Casper Blom: But if I may follow up then, is it a fair interpretation that, given that you will have some things helping you in '19, for example, the synergies that you mentioned previously, I also suppose you will want to have lower unit costs in 2019, that you are implicitly guiding for freight rates that are lower in '19 than in '18?
Vincent Clerc: Obviously, so first of all, the unit cost we're guiding on is at fixed fuel price. So I think what is really important to remember is exactly these background of trade tensions, macro weakness and volatility in fuel price, that will eventually play out on a freight rate play, which we don't really know how it's going to shape up at this stage.
Casper Blom: Then my second question, more sort of regarding the state of things as it is right now. Could you give any comment to the fact that rates have actually, it looks from the outside at least, to have started at fairly good level share in 2019, and maybe also a bit of commentary to sort of the rig contract negotiations you've had around New Year's?
Vincent Clerc: Yes. So I think as you rightfully point out, the rates ended up the year of 2018, and we can see it here with this even cleaned up for the impact of Hamburg Süd, 7% year-on-year growth in freight rates. We're ending the year we have ended the year in a much better shape than we ended the previous year. That obviously means a better environment to start the year into and a better environment to negotiate contracts into. We are about halfway through the contracting season. We have done, basically, Asian and European customers. And I would say that the rates we're contracting at are also in line with a better climate to negotiate those. We still have the entire North American portfolio to go through because those are effective from 1st of May. And I just want to remind you also that half of our businesses is actually short-term business that we renegotiate either monthly or weekly, and that's really where a lot of the risk, even after the contracting season is done, a lot of the risk is going to play out, because it's a significant part of our business and it's an extremely volatile part of the business.
Operator: And next question is from the line of Robert Joynson from Exane BNP Paribas. Please go ahead. Your line is now open.
Robert Joynson: I also have two questions. I'll do them one at a time as well. So if we just start off with the EBITDA guidance. Sorry to repeat the point, but it is obviously the main discussion topic from this morning. If we look at the numbers, including the impact of IFRS 16, the run rate of EBITDA coming out of 2018 is around $5.7 billion, just based on the Q4 result, which is obviously materially higher than the $5 billion guidance. You've just referenced that unit costs are improving. Freight rates have started 2019 at a higher level than 2018. And you've also just confirmed that contract rates have been maybe a little bit more favorable than 2018 as well. So those factors would suggest EBITDA increasing in 2019 rather than declining, at least, versus the run rate. Could you maybe just help us to reconcile various factors with the $5 billion guidance, for example, are there any buffers factored into the guidance related to the uncertainties for 2019 that you mentioned earlier in the call?
Carolina Happe: This is Carolina here. I would say that all of what you mentioned is true, but there still are big uncertainties in the world. So I think we're going to have to come back to that. And the uncertainties, that's why we guide for the 1% to 3% for '19. It's significantly down from '18. We have China slowdown. We have Brexit. Hard or not, we have the weaker economic outlook. We talked about the bunker price fluctuations, it is difficult to predict their movements. And we have a risk on the timing and the impact on the rates, I will say, in an environment with weaker demand, and still, inflow of larger vessels. We have the implementation of the IMO 2020, which will most likely impact the second half of '19 with idling, scrapping, fuel prices, what have you. And we also should remember that the Ocean performance was strong in the second half of '18, where we had sort of an increase in average freight rates more than compensated for the increase in fuel prices. So if you look at the comps, we will also have tough comps in the second half of '19.
Robert Joynson: And then just the second question, hopefully a quick one. You've mentioned before about holding capacity flat sort of around about, at the current level, a 4 million or so TEUs. Could you maybe just comment on how much additional volume can be handled while holding capacity constant at around the current level?
Søren Toft: It's Søren Toft here. I think we have given the answer already by saying that like-for-like capacity will be flat, but we expect to grow in the 1% to 3% range for the year. So that will be the starting point. Thank you.
Operator: Next question is from the line of Dan Togo from Carnegie.
Dan Togo: Two questions from me as well. First one is in Q4, you guys have mentioned that the VSAs and demurrage was a positive here and a bit higher in previous quarters as well, or at least, it has been fairly high. Is this sustainable and can you give some color on that? And how should we look at that this going into 2019? That's the first question.
Vincent Clerc: So I think there are three things to build into that. Two of them are sustainable and one is not. So one is, part of the synergies we report with Hamburg Süd is actually that they have been able to increase their collection in the course of the year. So that is something that we expect to remain a feature of Hamburg Süd, going forward. The other thing is, actually, the collection from Maersk from its customers has actually increased. We have toughened up a lot of our policies in that field and have been able to also increase the revenues that we gain per FFE under other revenues there. So that, we expect to come as well. Another factor has been some of the congestions that Søren Toft mentioned on the Terminals & Towage, which was specifically in the U.S. with the pre-tariff rush, where the customers had a hard time getting delivery and processing all the goods. That has had a bit of a windfall effect in the fourth quarter. That will not be a recurring one, going forward.
Dan Togo: Are these more or less equal in size? Is that if fair assumption?
Vincent Clerc: No, it's not a fair assumption because obviously, the size of Hamburg Süd being what it is, it would mean that they will have had to increase, really, a lot to make up for the differences in size. But all three were significant, I would say, in the fourth quarter.
Dan Togo: Okay. And then just a question mark on IFRS 16 and the impact because in your guidance, you say around $1 billion, but when I look into '18 numbers, it's $1.2 billion when you adjust here. So which number should we use for 2019? Is there any reason why the impact of IFRS 16 is lower in '19 compared to '18 or is this just a matter of rounding?
Carolina Happe: The guidance is including IFRS since that is what we go with from '19. So it is $5 billion. And what we say is that it's around, right? So well, I would stick to that. That is the guidance.
Dan Togo: So just to clarify here. So if I use $1.2 billion, which was the effect in '18, if I use $1.2 billion for '19, I will not be wrong?
Carolina Happe: I mean, within IFRS, there are a little bit of sort of things that you need to take into consideration there. But that's why we say it's around $5 billion, and you can see there's a bridge between. But the guidance is $5 billion.
Operator: And next question is from the line of Lars Heindorff from SEB. Please go ahead. Your line is open.
Lars Heindorff: Two questions from my side as well. The first is regarding your capacity growth. You are saying that you will keep your nominal capacity roughly flat, but I think you mentioned during your presentation that you expect to grow capacity by 1% to 2%. I'm just curious to find out how you will get to that if you have business that will be out to have scrubbers installed, and also, if you intend to do more slow steaming. That's the first one.
Søren Toft: Yes, Lars, Søren Toft here, let me try to repeat. Our capacity on a like-for-like basis in '19 will be flat with the second half of 2018. And I deliberately say the second half because the first quarter of '18 it was a peak that we are particularly pleased with. What I then said is that year-over-year, I expect our capacity to be slightly up 1% to 2%, and that includes then the temporary refitting of ships for scrubber and some investments in slow steaming. So it means that even with this effect, there will be a very marginal increase on the full year numbers.
Lars Heindorff: And then the other question is regarding logistics. I think it's clear from the numbers that you have delivered in Q4 that your freight forwarding is probably not going very, very well. And I don't know if you could give us a status about that. You have earlier indicated to that, that's maybe not part of your core business going forward.
Søren Toft: Yes. On freight forwarding, what we can say is that we have effectively, from the 1st of January, carved out the Damco freight forwarding business from the rest and it now operates as an independent standalone company. And it has only one mission that is to become a profitable freight forwarding business with a focus on Air and Ocean. That's basically where we are at this point. So we now have one P&L that is only freight forwarding. You know who is employed there, what offices they have and so on. That is the status at this point, and I cannot say any more than that.
Lars Heindorff: Can you review the EBITDA in the fourth quarter for that business?
Søren Toft: No, no, we don't disclose at that level. But obviously, it's as you said, we are not happy with the level of profitability in the freight forwarding and it needs to improve.
Operator: And next question is from the line of Patrick Creuset from Goldman Sachs. Please go ahead. Your line is open.
Patrick Creuset: Just to come back to your guidance for 2019. I mean, when we take the run rate in the fourth quarter, it would imply somewhere around 4.5 billion EBITDA or so. In 2019, you're guiding 4 billion on a comparable basis. Is it fair to say that the 0.5 billion difference is effectively a margin of safety for the global risks you've mentioned earlier? Or are you actually seeing a bit of a deterioration in bookings and rates, et cetera, post the Chinese New Year, and is it basically reflecting a deteriorating environment at the moment?
Søren Toft: Patrick, this is Søren here. We're guiding around 4 billion. That's plus/minus 10%. And then, I think, we're basically highlighting that the level of uncertainty that we have right now around fuel prices, IMO 2020, trade tensions, global economic growth, China and so on is at a really high level, we believe. So we are two months into the year and there's a lot of uncertainty out there.
Patrick Creuset: So the discrepancy basically reflects various global risks rather than a tangible deterioration you'd be experiencing at the moment?
Vincent Clerc: Yes.
Patrick Creuset: Okay. Can I just ask a second one on logistics? So you mentioned the profitability level, underlying profitability level in 2018 was not satisfactory. What sort of profitability level would you be happy with and perhaps even target in '19?
Vincent Clerc: Yes, this is Vincent here. So we don't guide specifically on segment-specific profitability targets.
Operator: And next question is from the line of Edward Stanford from HSBC. Please go ahead. Your line is now open.
Edward Stanford: Two questions, as usual. One is very quick, I think. The $1.2 billion of cash from Maersk Drilling, has that actually been received or is that in anticipation of receipts upon demerger? And secondly, you've talked about growing non-Ocean revenues. When do you think the group has the sufficient balance sheet strength to contemplate M&A in non-Ocean?
Carolina Happe: So I'll answer the first one. Regarding the $1.2 billion to Drilling, yes, that has been received.
Søren Toft: In terms of balance sheet, our focus this year would be to strengthen our Logistics & Services segment by adding capabilities and capacity, we'll be particularly focused on inland, on supply chain management, on customhouse brokerage. And most of that, we see as organic growth and capacity-building. So we are not expecting to make significant acquisitions this year in Logistics & Services. We will be focused on special capabilities, as we have just acquired a small company in the U.S. that's a customhouse brokerage company, which enables us to have a competitive customhouse brokerage solution in the U.S. We already offer that product today, but this acquisition triples the size of our operation and makes us relevant for our supply chain management customers, as an example.
Operator: And next question is from Mark McVicar from Barclays. Please go ahead. Your line is now open.
Mark McVicar: I have two questions, both for Carolina, I think. First question is you've come into a group that's sort of quite a long way through a rationalization and restructuring program. Do you see any opportunity to reduce the scale of the overhead that's set above the group? Or have they been naturally shrinking as businesses have been sold or ready for the demerger?
Carolina Happe: As any good CFO, I would answer yes to that question. Though, of course, there are possibilities to do more. But the team is also working on doing more, so.
Mark McVicar: And my second question is I haven't had a chance to read the whole annual report yet, sadly. But could you update us on where you think you are with the rating agencies? And what has to happen from here to maintain the investment grade and remove the negative washes? Is it just literally the steps you've outlined, as in demerger of drilling with the receipts of cash back to Topco, if you like? Or do you think more has to happen before they will steady those rating?
Carolina Happe: Well, we remain very dedicated to keeping our investment grade. And we are working in close, sort of, analysis together with them to stand by it. And now we'll get the drilling done, and then we'll come back with more information on our capital structure and future dividend policies when we come up with the second quarter earnings.
Mark McVicar: But as you've looked at it, you're happy that the steps already in place: selling the Total share, demerging drilling, will be enough to maintain that rating?
Carolina Happe: We have taken the steps that are sort of in a good direction, but then we also have to look at what happens in the overall world. And that also has an effect on the rating institutes. So we do what we can and then we'll make sure that we do our best in that, and then we will have to see how the rest of the world develops. That's not in our control.
Soren Skou: Perhaps I can add. I think it's important to highlight the reduction in our CapEx, the discipline around that. Since 2016, our forward committed CapEx have gone from more than $5 billion to just over $2 billion. And that's the kind of discipline we want to continue.
Mark McVicar: But presumably, the guidance for CapEx doesn't include the assets you would normally have taken in through leases?
Carolina Happe: The gross CapEx is excluding the leases, but you can also see on the first page of our presentation where we show what we want to track going forward. And then we have the cash return on invested capital as an important target for us going forward. So I think that is also sort of in line with showing where our commitment is.
Mark McVicar: Okay. But should we be adding about $1 billion for the NOL lease take, given that you've got $1 billion of extra EBITDA and adding $5 billion, or $6 billion of lease liabilities?
Carolina Happe: When it comes to the IFRS 16, we have this one page where you can look at, and there, you can see exactly how it affects and which lines it affects. And that's probably best to take that one to really bridge the gap since it's technical calculation. It doesn't have a real affect on the cash flow.
Operator: And the final question for today is from Johan Eliason from Kepler Cheuvreux. Please go ahead. Your line is open.
Johan Eliason: This is Johan from Kepler Cheuvreux. Just taking another stab at your guidance. It looks like if you include your remaining merger synergies, you're basically guiding for a flat earnings in '19 over '18. Is that sort of what we should expect, that in a volume scenario with around 2% growth, you're mainly able to offset normal cost inflation? Or how are you thinking about this 1% to 2% unit cost-reduction targets, longer term?
Søren Toft: Yes, Soren Skou here. I mean, we continue to have a target of reducing unit costs of 1% to 2% per year at fixed bunker in Ocean.
Johan Eliason: And then just the comment on this capacity, how you see that developing. You highlighted that there would be some temporary capacity reductions due to the scrubber installations. But the scrubber installations will not only impact this year or don't you expect that to continue for a couple of years until you've had sufficient number of the scrubbers installed? Or how should we think about that going into 2020 and forward?
Søren Toft: Just want to clarify, Søren Toft here. We don't expect capacity reductions. We expect capacity increases temporarily because of the scrubbers. It's correct, scrubber installation will go into the early part of 2020, but you should not plan with scrubber installation going one to two years thereafter. It will be a short-term thing and then we will be done. I'll give the word to Soren Skou for final remarks.
Soren Skou: Thank you. And I just want to highlight again that we believe we have come quite some ways in the transformation of A.P. Møller - Mærsk from being a conglomerate with business interests in many different industries to being fully focused and integrated global logistics company. We have improved our earnings, not as much as we would have liked, and certainly, not as much as we expected starting 2017. So it's important that we improve from the current level and that's what we set out to do. I also have to say that we have, we believe, solved a good part of the growth challenge that we had when we go back to 2017, '16. Hamburg Süd has been successfully integrated. We are very happy with the acquisition. We think we acquired a good company at the right time of the cycle, and it's contributing quite positively to our earnings. We are in a much better position from a balance sheet situation point of view. We are focused on cash flow, and we will start reporting on cash flow return on invested capital every quarter to make sure that we keep that focus. Today, we reached an important milestone on Energy separation with the announcement of the delisting and demerger of Maersk Drilling. And then, again, as many of your questions have centered in on and circulated around them, we are quite cautious in our outlook for 2019. We believe there's considerable uncertainties out there that can impact us during the year. So thank you very much for listening in, and we look forward to having the next call in May. Thank you.